Johan Bartler: So good morning, and welcome to this fourth quarter press conference. Today, we will listen to the presentations by Martin and Mats and then follow up with a Q&A session. So with that, I hand over to you Martin.
Martin Lundstedt: Thank you, Johan for that. And also welcome from my side to everyone here in the room and also online. Great to have you here. First and foremost, I will come back to the full year '24 later. But as we also concluded the fourth quarter, I would like to start by thanking everyone that has been involved. It has been an interesting year to say the least. So big thanks to customers' business partners and colleagues for a continued good cooperation and work. And we are still in uncertain times, so strong and close relations are more important than ever. As expected, the normalization of demand continued into a replacement-driven market across many of the group's major segments also during Q4. But we also saw a momentum in order intake turning book-to-bill positive for Group Trucks VCE and Volvo Penta in quarter 4. We have continued to prioritize high quality in the business by focusing on our customers and the service operation, continuous volume flexibility in the industrial system, cost control combined with commercial discipline and price management. Specifically for volume flexibility, we are in a good place for almost all markets. And the only exception is Group Trucks North America, where we continue to have more costs related to specific situations. The first one during the quarter was -- or we had a continuous one, but the first one was related to the devastating effect related to the storm Helen that apart from human suffering caused supply issues and disruptions, mainly in Western North Carolina and thereby losses of volumes in the beginning of the quarter. Those volumes have been gradually recovered during the quarter with fantastic efforts I have to say by the complete supply chain internally and externally. But of course, it comes with extra costs. And secondly, the continuous ramp-up of the -- as you did see on the movie here the all-new VNL where extra resources and thereby costs are needed to cope with introduction in parallel with normal production planned for, but still the case. And thirdly, as we talked about during quarter 3, the impact coming from cab supply from Mack as reported in quarter 3 as I said which continued into quarter 4, but improvements are now stepwise visible. So that is very encouraging also for -- given the order book that we have for Mack. And in total the specific events for Group Trucks North America affected the Global Trucks margin negatively on still a rather high level, but was somewhat lower than what we reported for quarter 3. But more importantly and I think that is worthwhile reiterating, it has been the right priority for the future really going through now the ramp-up getting these fantastic products out to the market and also seeing that we are capable of really getting the volumes into place here. And the start of production of the all-new VNL in North America is very important of course because that is a future platform that we have invested considerably into. And that is for North America over the last five, six years and it's materializing now as an introduction, but that goes also across the board with R&D investments in new technology products and services combined with the digitalization. And just to finish off with the North American introduction also I mean very clear to achieve the ambitions that we have in market shares as well. But if you go into the figures here and summarize the quarter, net sales declined 6% SEK138 billion on the back of still softer markets and lower volumes combined with negative FX or currency of SEK1.1 billion. Adjusted operating income came in on a level of SEK14 billion corresponding to a margin of 10.1%. And we finished 2024 with high deliveries and release of working capital giving a very, very strong operating cash flow of SEK24.3 billion for the quarter and resulting in a financial position of SEK86 billion. Return on capital employed in Industrial Operations remained strong at almost 36% and earnings per share, was SEK5.28 per share then. So all-in-all we summarize another solid result and resilient quarter thanks to great cooperation with customers and business partners and most and foremost a day like this dedicated work by all colleagues around the globe. So thank you. Then coming into volume development, total truck deliveries declined 11% in quarter four with heavy-duty deliveries holding up relatively better. It was minus 6%. And for Construction Equipment deliveries were down 5%, Volvo coming down 23% and SDLG increasing 20%. When it comes to the electrification progress and the transformation with different uncertainties related to the electrification, underlying demand has been slowing down in some of the core markets and the switch over to zero-emission transport is still driven by early adopters. Steel, as you can see orders for fully electric vehicles and machines increased with 62%, but it was in the quarter mainly driven by Renault Trucks light commercial vehicles and SDLG machines primarily then for China. Deliveries increased with 11% supported mainly also their SDLG machines for China. But I think it's important in summary to say that, despite the slowdown we continue to push also in our core markets which is reflected in our high market shares for medium and heavy-duty trucks around 70% in Europe for the full year of 2024 even if the volumes in total are still too low, but it will come. When it comes to sales development, so on the back of the lower volumes vehicle and machine sales declined 7% adjusted for currency. Truck sales declined 5% on 11% lower volumes. On the CE side, sales of machines were down 19% driven by continued decline in Europe and North America. And buses were down -- or sales for buses were down 12% on the back of primarily actually, because we have good activity levels very strong comparison from previous years. As you know, it's a little bit more volatile between the quarters for buses. And for Volvo Penta, despite a drop of 22% in volumes their sales were only down by 9%. One part of that is a positive mix more heavy engines also, not at least for the energy transition but we will come back to that. Service sales, we continue our focus on services as we have talked about for many years now and had flat development year-over-year for the fourth quarter adjusted for currency. However, and I think I mean excluding Arquus that was divested during the course of the year, service sales grew currency adjusted with 4% year-over-year and continue to show resilience in I mean a softer market generally speaking. And efforts to increase the service contract penetration and other services will continue also to pay off step-by-step. We see that in our portfolio. Rolling 12 months, we had service sales of SEK 130 billion. So all in all, another solid result from services and a very good achievement here, and that journey will continue step by step. Group news then during the quarter, first and foremost, the group hosted and many of you were present that are here in the room, but also online. Capital Markets Day in Virginia, United States with a theme geared for growth, of course, related to the opportunities when it comes to the underlying growth in our sector, but also the transformational elements of that and outlining our future opportunities combined with key strategic levers. Another important event was that together with Daimler Truck, we have signed a binding agreement to establish a joint venture to develop a software-defined vehicle platform for the heavy-duty sector. The aim of the new company named Cortura [ph] is to set up an industry standard and to offer a brand and application-agnostic software product and platform also to other commercial vehicles or industrial equipment OEMs. And that is important because in order to really get enough volumes for hardware and software development and to make that cutting-edge innovation and also to innovate on the edge there it is important to join forces. And this is an innovation milestone for the industry, as we said, and the company will be headquartered in Gothenburg, Sweden. On the truck side, Volvo Autonomous Solutions has, together now with DHL, started autonomous hub-to-hub operations in Texas, United States on public roads. And the operation is enabled by the purpose-built Volvo VNL autonomous in combination with the Aurora virtual driver. And this milestone marks a critical phase now in validating the full ecosystem required for autonomous transport at scale where hub to hub is, of course, the key focus to start with. During the validation phase, there are safety drivers on board, but this is a very important step now to materialize the great benefits of this type of technology. And the second big news is that the European test organization, Euro NCAP for the first time ever has assessed the safety of heavy-duty trucks. And the Volvo Group's best-selling models in Europe, the Volvo FM, the Volvo FH and Renault T-Series are ranked number one, two, three, respectively in the test, which, of course, is very encouraging, but more so important. Safety is a top priority for our customers, and I have to say, deeply ingrained into our group's DNA. This recognition from Euro NCAP marks a significant and proud accomplishment by our colleagues and business partners and, of course, in particular, our engineers. Coming then to market environment. For Europe, our forecast for 2025 is unchanged at 290,000 units on the back of a market driven primarily by replacement and that we have seen an increased share of fleets. However, and that is important, we see early signs that retail customers are starting to move. Also for North America, our full year 2025 forecast is unchanged at 300,000 units, and we expect some demand tailwind in the second half of 2025 driven by expected prebuys ahead of emission legislation changed by for 2027. Brazil, the market is expected to normalize back to the long-term trend line. So 90,000 units is estimated for 2025, and that is unchanged in relation to what we said in quarter three as well. India, market expected at 370,000 units in 2025, minus 10% -- 10,000 in relation to previous forecast. And the more significant adjustment we do on China, is not expanding as previously expected and the forecast is revised to move sideways versus 2024. So the new forecast is at 710,000 units, which is 110,000 lower than we actually had in the forecast, in relation to quarter three reporting. Truck book-to-bill then, interesting news, right? We did see an order momentum turning book-to-bill positive in quarter four, important of course. Specifically for medium and heavy-duty trucks, book-to-bill in quarter four was 106% and for 12-month rolling then coming up to 93%. The European book-to-bill in quarter four of 102% was in balance, but it is worth noting that the order intake year-over-year for heavy-duty and medium-duty increased, with 68% to almost 25,000 units in quarter four. And the North American book-to-bill was 124% for the quarter, with both Mack and Volvo contributing. South America, Asia in balance while Africa and Oceania continued to deliver out of the order book. Then, when it comes to market shares, in Europe, we had a solid and good performance for the year both for Volvo and Renault, with a combined market share of 27%. For electric vehicles, the two brands kept their leading position with over 70% combined market share. In North America, Volvo and Mack had stable combined shares of 15% for the full year despite delivery problems throughout the year. And some of them, we have now structurally addressed as we have talked about before. In Brazil, Volvo remains in a market-leading position with almost 24% share. And in Australia, Volvo and Mack combined had a share of 24%. Construction Equipment. Maybe, you did see the movie here, before we started. First and foremost in quarter four, when we talk about news, we continue to roll out products in the largest product portfolio overall in decades for construction equipment for example, new excavators in Europe and Asia, specifically in some of the key segments here. And in January or to be more precise, yesterday in Braås, Småland, Sweden an updated range of the industry-leading articulated hauler range, as you can see here, was launched including one completely new model the A50, which is very important, because we are strong on the heavy side here and we will reinforce that because we are now entering a model between the A45 and the A60. So that will further reinforce our world-leading plus 40% market share -- global market share in these segments. Market environment. Europe, we have continued to see signs that the downward correction also in Europe for Construction Equipment is stabilizing and guide 2025 to a flat market on the back of positive signs from dealers and customers. That is unchanged also from previous forecast so far. Also for North America, we keep our forecast unchanged with minus 5% as midpoint in relation to 2024. And for South America and Asia, excluding China, also we forecast an unchanged flat development. In China, we increased somewhat the 2025 forecast up to plus 5% as midpoint in relation to 2024. Book-to-bill pretty much the same story here. Volvo CE showed growth in book-to-bill with 105% in quarter four. And for 12-month rolling book-to-bill was 95%. European book-to-bill improved to 138% for the quarter. North American book-to-bill was improving to 93% for quarter four after also a third quarter that was very low and was impacted by destocking and cautious order intake. And South America had destocking with book-to-bill at 77% while Africa Oceania and Africa were in balance. On the Buses. Quarter 4 Volvo Buses received an order for the six electric buses from Transdev in the Netherlands. Of course that is a very important order in itself, but it also marks a very important shift here. Now we are gradually leveraging the new business model in Europe with Volvo chassis combined with bodies from select body builder partner, but where Volvo Buses team still delivering and serving the customer as a whole. Book-to-bill in the quarter was 76% on the back of very strong order comparisons from 2023. But overall a continued good demand for coaches. And Volvo Buses had a very strong year and I would like to extend my appreciation to the whole team for the strong structural improvements over the last years that have taken place which is of course very important. If we go then to Penta. Penta revealed the expansion of its Assisted Docking system also to boats with DPI drives in addition to the IPS drives or pods. Another thing data centers and the expansion of that across the globe is driving demand for power generation gensets which is supportive for Penta's mix towards larger engines. And generally speaking the energy transition as such holds great opportunities for Penta moving forward both for power generation, but also for energy storage solutions. Book-to-bill improved to 136% in quarter four and to 94%, 12 months rolling. And also Volvo Penta concluded a very strong year with the best quarter four ever. And of course that is good in itself. But I think it's more important also to state that that is showing that Penta today is a different company. It is a company that are standing on two -- or I should say three legs: marine, industrial both industrial or speed and industrial power generation. And as many of you know that quarter four has typically been a sign that it was more one legged and now we are seeing that it is a company with several opportunities and great growth opportunities. So great job done by the team here. Financial services. Quarter four new business volumes reached SEK 35.6 billion. That was plus 5% currency adjusted and this was a quarterly record as a matter of fact. And with the strong sales BFS continued to grow the credit portfolio and with also improving penetration levels that is important. The 12 months rolling penetration reached 29% that was 2% better or two percentage points better compared to last year. And the portfolio performance continued to be good with customer delinquencies stabilizing at average business cycle levels, so a well-managed portfolio and growing business. So by that, Mats, I leave the floor to you to go through the financials.
Mats Backman: Great. Thanks, Martin. So let's look into the financials then. Overall we continue to execute on our, perform and transform strategy. We maintain earnings resilience and deliver an all-time high operating cash flow in the quarter. And this is why we are continuing to invest in our future business growth as well. Looking into the details then and starting with the net sales, price level for new vehicles remains stable with no significant carryover effect from last year. However, we still see positive price realization on our service business. Net sales decreased by 6% on a currency-adjusted basis compared to last year. European volumes declined with sales coming down nearly 12%, when adjusted for currency and the Arquus divestment. The decline is mainly due to lower volumes in Truck and Construction Equipment. In North America sales experienced a slight increase of 0.5% on a currency-adjusted basis and this was despite lower market activity for construction equipment. South America continued to perform strongly during the fourth quarter with net sales demarked an outstanding plus 26%, FX adjusted compared to last year and this was mainly driven by Group Truck sales. The other regions experienced declining sales both in Trucks and machines then. Overall FX was SEK1.1 billion negative, driven by the Brazilian currency that depreciated by 14% versus the SEK. And this gave a negative FX impact on sales of close to SEKtwo billion in the quarter. Operating margin. The adjusted operating income for the group was SEK14 billion, with an adjusted operating margin of 10.1%. In Q4 earnings remained strong supported by favorable price realization on services. While the downward trend in material costs had a positive year-over-year impact, it didn't fully compensate for the effects from reduced volume unfavorable brand mix within Construction Equipment and the additional manufacturing costs for Trucks in North America. And this was related to the supply constraints and the all-new VNL ramp-up. These additional manufacturing costs are gradually fading. The ongoing transformation activities require significant investments. R&D spending increased by SEK1.4 billion in the quarter. Gross spending was seasonally high in the fourth quarter of 2024 and is expected to balance out to be slightly above the average for the 2024 spending. The net capitalization effect in the quarter was positive at SEK800 million. Guidance on net capitalization for the full year 2025 is positive at approximately SEK3 billion. Strict cost control remains in place, reflected by the stable trend in other fixed costs. Other is positive thanks to better performance in joint ventures compared to last year. FX had no significant impact on the quarter at adjusted operating income level. And we expect the effect from transaction exposure to be neutral for the full year 2025. And we don't provide any guidance on the full 2025 currency effect on earnings. Cash flow then. We generated an all-time high operating cash flow in the fourth quarter at SEK24.3 billion, mainly driven by good working capital management where we have been successful in execution of several activities reducing inventories with about SEK 9 billion in the quarter. This combined with a solid result brought us to mark a new record for the Sandvik, for the Volvo Group when it comes to the cash flow. Return on capital employed trend slightly lower at 35.8% on a rolling 12-month basis while the net financial position improved to close to SEK 86 billion, driven by record cash flow generation in the fourth quarter. Moving into the Truck side then. The decreased FX adjusted net sales for Group Trucks of 4% were driven by lower volumes and flat price effect on new vehicles. The lower adjusted operating income and adjusted operating margin were mainly driven by generally lower volume, high R&D investments and manufacturing costs impacted by the disturbances in North America and by the extra cost efforts to execute on deliveries. Good performance was maintained through effective price realization on service, reduced material costs and enhanced results from joint ventures. FX had a negative impact of SEK 0.5 billion in the quarter and this was driven by the Brazilian currency. The extra cost in North America related to the hurricane and the ramp-up of the all-new VNL remained in the fourth quarter but continues to gradually improve. Construction Equipment then. FX adjusted net sales decreased by 17% due to lower volumes and negative brand and product mix. Adjusted operating income decreased by SEK 0.7 billion to SEK 2.6 billion. The negative impact from higher volumes in China and lower volumes in Europe and North America were partly mitigated by the reduced R&D expenses. The adjusted operating income margin reached 11.8% and there was a positive impact from currency on earnings of SEK 0.6 billion, mainly driven by the appreciation of the U.S. dollar versus the SEK. Moving into Buses then. And as Martin mentioned as well, this is the best fourth quarter ever when it comes to adjusted operating income and the margin for Buses, so great work done by the Buses team. Looking into the details then. FX adjusted net sales decreased by 10%, mainly driven by lower volumes. Adjusted operating income more than doubled from SEK 323 million to almost SEK 700 million. The result was supported by effective price realization on both vehicles and parts and continuous improvements on manufacturing and material costs more than offsetting the impact from lower volumes. The adjusted operating income margin increased to 10.4% and the currency impact was minor within the quarter. Moving to Penta, and also Penta had a record quarter when it comes to the operating income for the fourth quarter. Looking at the numbers then, driven by lower volumes FX adjusted net sales decreased by 5% to SEK 4.8 billion. Adjusted operating income increased to SEK 583 million. Thanks to positive product and market mix driven by heavy-duty engines and components, U.S. business and price realization. This contributed to keep the high performance in a quarter with lower volumes. The adjusted operating margin reached 12.2% and there was a slightly negative FX impact in the quarter at SEK 17 million. And then Financial Services. The credit portfolio increased to SEK 280 billion with a rolling 12-month return on equity at 13%. Portfolio performance continued to be good with customer delinquencies stabilizing at an average business cycle level. In Q4, adjusted operating income was stable above SEK 1 billion and the solid portfolio performance was partly offset by higher operating expenses, increased credit provisions and unfavorable currency movements which had a negative impact of about SEK 40 million compared to the fourth quarter 2023. So with that, I'm leaving for Martin to summarize.
Martin Lundstedt: Thank you, Mats. Thanks for that walk-through as well. Yes, we'll only spend a couple of minutes to take a step back and also summarize the full year. It's always worthwhile doing that when we are actually closing the year. So, a couple of comments. I should say that we believe it has been a year with a strong performance for the group despite, as you know, a lot of different types of challenges. It has been a year with corrections in the market volumes. Even if it has been largely expected, you need to handle that. It has been together with an inflationary backdrop and the geopolitical turmoil. At the same time also, of course, coming with efforts but very positive for the future a massive rollout of new products and solutions in all parts of the world, not at least for Trucks and Volvo Construction Equipment, and increased efforts and spending and investments into innovation in technology and digital to stay competitive and to capture the growth opportunities in the years ahead. In that climate, we have managed to keep a good quality in the business and that is important. High flexibility in our industrial systems and great cooperations across the board, not the least with supply chain partners, and of course our customers. The net sales of SEK 527 billion came also with a gross margin that actually slightly improved for the group over the year in relation to 2023. Yes, we have had a little bit of not slippery slope but a little bit of weakening situation related then to the North American but very well-defined situation. But it's important to remember, that the gross margin of 27.3% for the group, 24% in relation to 27%, is a sign of strength and it's related both to good industrial flexibility, but also to continuous growth in services and price discipline. Adjusted operating income was at a level of SEK 66 billion and operating cash flow more or less on par with 2023 for 2024 then at SEK 45 billion. And the EPS was at SEK 24.78 or SEK 24.8, per share. And the Board is proposing an ordinary dividend of SEK 8 per share. That is an increase with SEK 0.50 and an extra dividend of SEK 10.5, then resulting in a total dividend of SEK 18.5 per share. So for the future, we have a solid foundation with strong customer relations, financial position, technology in the pipeline and also launched an industrial backbone, both launched and continue to be expanded and most importantly, great colleagues and business partners. So by that, I would just like to express my gratitude to all of you that has been participating, across the world for a successful 2024. And that concludes the presentation. Johan, you will take over, I assume.
A - Johan Bartler: At least, lead the Q&A. So, thank you for that Martin and thank you Mats. So we will continue with the Q&A. And there are many people, who want to ask questions, which is good. So we – please ask you try to keep to your most important question. And we start in the room. And we start with Agnieszka.
Martin Lundstedt: So, let's see, if we can go from one and then it will be 1.5. Maybe it could be 1.2, no?
Q – Agnieszka Vilela: Perfect. Thank you. Agnieszka Vilela, Nordea. So, just looking at your average sales per truck, in the quarter it improved by 5%, year-on-year. Can you help us to understand, what was the price impact versus the mix impact? And then if you can also tell us about the pricing environment in general in the industry and whether you expect a positive price contribution from the newly launched models? Thank you.
Mats Backman: Maybe I can start with the mix question then because if you're looking at deliveries and in particular looking at Trucks, it is a rather big impact coming from the light commercial vehicles as well that needs to be considered when you're looking at average per truck then. So that is important to start with. And when it comes to -- I mean in terms of pricing and I mean Martin has been clear on that that I mean we don't see any pricing effects year-over-year, but we are holding on to prices overall.
Martin Lundstedt: No, I think, I mean just to add and all of you of course are aware of that. But when we are looking at the price effect, we are trying to isolate what is other type of factors coming into play obviously as you say, I mean the customer profiles, size and others the segments, the geographies. And then you have the different boxes that you can carve out. And why it is important to be granular now is exactly to Mats' point to understand what is happening. And there we feel that we are holding on with a good price discipline and not at least now when we feel that we are so to speak flattening out and I think it has been a good achievement. So, primarily that is the mix effect between the light and the medium and heavy. Because as you know, we have had a changeover when it comes to the light commercial vehicles together with Renault Group during the year and now deliveries will start to come back, but it has been a weak year in terms of deliveries for light commercial vehicles.
Johan Bartler: We continue with Mattias from DNB.
Mattias Holmberg: Mattias from DNB. I think in Q3 you helped us with the impact from the VNL launch and the supply chain issues about 100 basis points. Could you at all help us with the same number for Q4 and potentially also how much longer you expect to be impacted by this?
Martin Lundstedt: We said slightly better. So I think we stay there. I think in quarter 3, it was important to give that. So I mean otherwise it could be a discussion about the underlying quality of the business. And when you have big events and then in quarter three, it was particular, I mean the shortage of cabs and the start of the ramp-up of the VNL. It was important for us to give a sense of what does that mean in terms of the Truck margin, since it had relatively then big impact. Still remembering that it's not unexpected. I mean when you are doing these big launches of course you need to plan for double production and also resilience in the system. It is slightly better, but it is still visible clearly. But Mats also said clearly, we are expecting that to fade out. So yes, I think that is -- I think we stay there basically.
Johan Bartler: Thank you. We turn to the telephone line. And there we have Daniela Costa from Goldman Sachs.
Daniela Costa: Thank you. Good morning. Actually my first question is a follow-up on some of the things you just mentioned. But when we tally your comment that you had several quarters of book-to-bill below one and now it's turning, but we still have the history. And we have these impacts the caps the VNL and the other things. Do you see a seasonality throughout the year in '25 that we should think about in a different way to what normally it is? That's my first question. And then I have one on your EPA commentary.
Martin Lundstedt: I mean, I think, it's fair to say that with the order intake that has been encouraging rather across so to speak main regions here it has been -- I mean a number of factors. First and foremost that we were able actually to deliver good volumes in all parts of the world means that we have a good situation when it comes to our pipelines, when it comes to inventories, when it comes to the balance et cetera. And when you are in a market that is correcting and you start to feel that it's flattening out that is a good starting point. Now with order intake of course we are ready. And if anything during the start of the year and that will take a couple of weeks et cetera we are now gradually so to speak making sure that we can be ready for also a gradual adjustment upwards. Exactly when and how that will come it's a little bit easy to say but we feel rather confident that we have started to see that coming back is now here. The pace is still to be seen. So as we already said in the presentation this will be a gradual so to speak coming back as we expected both for Europe and North America in particular then over the course of the year. Anything to add from your side?
Mats Backman: No maybe just to, kind of, stress that we have, kind of, a really good starting point looking at what we have done in terms of net working capital also in the fourth quarter with lower inventories than coming into 2025. And that is maybe also something to kind of mentioned when we are talking about the margin and the kind of the margin for the fourth quarter. I mean when we have a destocking like we had in the quarter now with about SEK 9 billion in terms of destocking that also have a certain impact on the margin as well in terms of under-absorption. Even though this is a seasonal pattern in the Volvo Group that we see that in the fourth quarter but it's maybe more pronounced now looking at the fourth quarter this year with this big kind of improvements when it comes to working capital.
Martin Lundstedt: And maybe it can be just as a follow-up on that worthwhile mentioning we talked about new trucks and new equipment when it comes to the pipeline balance but we see that also in used actually so I think that is a good starting point.
Daniela Costa: Clear. Thank you. And then just on the EPA commentary where you still see some possibility of prebuy in the second half. We've heard some of your other European competitors but which represent a sizable part of the US market saying they don't think they need big price increases. If that doesn't happen do you still see prebuy? And sort of how will you position yourself on that EPA compliant truck in terms of pricing given also your market share ambitions on VNL?
Martin Lundstedt: But I think to be seen obviously I think it's always almost a psychological dimension of introductions of new legislations. So there is an effect just that it is happening because it's the price effect but it's also I mean customers thinking about I mean what is new in this and how should I think about it from a technology certainty point of view. But having said that I think in a dream scenario by the way I think it's much better if we don't see too much of prebuys and getting more to a market that is following the economic activities and the general activity level. And there we feel still positive about what is about to come. I mean we are starting to see now freight prices and activity levels also coming back on the on-road segments and vocational is strong et cetera. So what we have guided for when it comes to the tailwind related to that we still think will be something. If it will not be over pronounced, I think it will be good for the industry actually and for Volvo.
Daniela Costa: If you don't mind just a very quick follow-up on the first question actually, one.
Martin Lundstedt: No, no, no. Daniela. Because we have said two -- we have said one and we have allowed two, so.
Daniela Costa: Yeah. No, it was just -- you didn't address the cab and the VNL.
Martin Lundstedt: Okay. We'll maybe do it for you.
Daniela Costa: I appreciate.
Martin Lundstedt: Right. We continue with the numbers.
Hampus Engellau: Thank you. Hampus Engellau, Handelsbanken. I have a question on Europe. If we look at the order intake, 29,000 units, even if I kind of some broad system adjustments on that selling rate, it seems like the volumes are running higher than the 106,000 you sold last year and market ended at 36,000 last year, and you're still guiding to 290,000. Can you take us through how you think about current demand situation and also where you are in run rate and why you're still holding back a bit? Or am I missing something? Thank you.
Mats Backman: Shall I start, Lundstedt?
Martin Lundstedt: Yeah.
Mats Backman: No, I mean, of course, if you just do the math and in particular, on the heavy-duty side, where you are almost 25,000 then for order intake and then, of course, you can come to a conclusion that 290,000 can be a little bit on the low side. At the same time, I think it's also like that when you've had a correction in the market and when you are flattening out, there is some elements of possible overswing. I don't think it's over pronounced because, as we said, inventory levels are low. But we have said that 290,000, I remember also in quarter three, it was a discussion if we were too bullish on the 290,000. And now -- so I think for the time being, will it be 290,000 will we see, I mean, coming back? Let's see. I think the more important message, we are good balance. We have the flexibility. And I can assure you how much we will capture the opportunities they come there. So -- and we have already done some small adjustments in order to prepare for it.
Johan Bartler: We stay there. Thank you for that. I saw that one coming. So we move over to the telephone line, and we have Michael from Jefferies. Please go ahead.
Michael Aspinall: Yeah. Thanks. Good morning, Martin, Mats and Johan. You opened the order book for the VNL during 4Q. Are orders progressing there as you expect? And just speaking to some dealers, it seems pricing is up around 5% on a like-for-like track. Is that what you're seeing? And I noticed your competitor last night mentioned they expected pricing kind of ex new products to be up from 2Q, 3Q in the US as well. So just kind of trying to disaggregate pricing orders on the new VNL and the overall pricing market in the US?
Martin Lundstedt: No. Thanks, Michael. Good question. Of course, I mean, to start with all VNL is coming with fantastic value. And it's not just me talking as a sales person or a marketer, but if you take the facts around the all-new VNL in terms of fuel efficiency, when it comes to safety features, when it comes to a lot of the so to speak wishes and requirements coming from our customers, we feel it's a great launch here. And of course, that we have, I mean, clear ambitions that, that will also be reflected in the value. So I think it's -- I mean, I will not reveal an exact figure on that, but it's coming with -- and we see that also in Europe, by the way with FHR that we are able to also get the value out that is fair to still have a win-win between the customers and the group, so to speak. So that will be a good and important element for us in North America. And then to your point, of course, we have also with the ramp-up in partly cautious of opening up the order book and also for Mack et cetera. So as you did see it was also -- I think it was 26%, 27% better than last year quarter four and that was related to that. We now also feel more confident in the ramp-up and opening up that. So we are filling as we speak there.
Michael Aspinall: Great. Thank you.
Johan Bartler: We then move over to Björn from Danske Bank.
Björn Enarson: Thank you. Yes. On Q4, you're talking about a weak product and regional mix. And looking ahead you sound quite confident. But one of your competitor, last night talked about maybe a little bit of a positive mix with slowing momentum for vocational and slowing momentum in Eastern Europe versus Western Europe. And you are highlighting basically a very large order to European fleets and a continued strong momentum for vocational. So that sounds like a weak mix. Is that -- I mean what kind of impact should we expect for this year?
Mats Backman: I mean, you are correct. And as we are writing in the report as well, so we have -- in terms of the customer mix, I mean we have more fleets and being successful on that side and especially looking at Europe. And that has a kind of a consequence from a mix point of view when it comes to the margin or the leverage as well. So it is a mix factor then with the customers, yes.
Björn Enarson: And material -- and how material or...
Mats Backman: I mean it goes up and down. And I mean it's a normal kind of cyclical thing that you see right now in terms of where we are in the cycle, so nothing particular from that point of view.
Martin Lundstedt: And I mean, well, expected also. I mean, when you are a little bit where we are in the cycle fleets are generally speaking more active, because they have the replacement schemes et cetera. And as I briefly mentioned in my presentation we start to see that retail customers are more active now and starting to feel okay it's time to come back et cetera. I think the most important as we have said Björn is that, when we look at the different segments isolated that we don't see any deterioration of our commercial conditions, because that should be a more problematic sign. And that we don't see.
Björn Enarson: Perfect. Thank you.
Johan Bartler: Very well. Thank you for that. We move to the telephone line and Klas Bergelind from Citigroup. Please go ahead, Klas.
Klas Bergelind: Thank you. Hi Martin and Mats. Klas at Citi. So my first one is on the margin going forward, obviously as you say Mats the net capitalization will be supportive going forward as per your guide, but you talk about continued investments and the comp here is a bit tricky into the first quarter as you ramped R&D at the end of last year. Do you think we can see a similar year-over-year impact in the bridge from R&D at the start of the year? And then on pricing, Martin, you say that you are realizing pricing still on services. If you could comment a bit more on what is happening on vehicles. And then finally, coming back to the mix and Björn's question, if you look at the backlog for delivery into the next quarter, do you think you will have more fleet deliveries versus retail? Sorry that was a lot, but that was my three questions in one I guess. Thank you.
Mats Backman: I can start on the R&D question then. So we have the kind of the normal seasonal pattern so to speak when it comes to R&D expenses. However important to remember, I mean if you recall the fourth quarter last year, we actually had some positive one-timers that I talked about SEK 500 million then impacting the fourth quarter last year from a positive point of view on the R&D which makes the year-over-year difference kind of bigger than the underlying so to speak as we had a positive last year. But still we have a seasonality with a higher spending than in the fourth quarter. But what I'm also clear and you heard in my presentation as well that, what we're talking about is having R&D kind of leveling out on the average 2024 level or slightly above that, meaning that we have been talking about an increasing R&D and increasing investments but we're now talking more of a plateau when it comes to R&D from where we are right now. And I guess that's something that is a little bit new in that.
Martin Lundstedt: On a gross level now.
Mats Backman: On a gross level, yes. And then on top of that, you have -- as you said, in terms of guidance when it comes to net capitalization to be about SEK 3 billion for 2025. So that is kind of a positive on the net R&D side.
Martin Lundstedt: What was it before that you had? [indiscernible]
Klas Bergelind: Sorry. The pricing of vehicles, how that was in the quarter?
Martin Lundstedt: Yes. I mean we don't provide exact, as you know, forecast around that. I think the more important message is that, again, we feel good about the situation when we look into the different segments, how we are maintaining the prices, and then exactly how the mix plays out. I think that when it comes to value creation perspective, it's on the marginal side actually to be frank.
Johan Bartler: Good. Thank you for that.
Martin Lundstedt: And I can say one thing more about R&D, just to be clear. Again, that's the reason why we also are eager to talk about the gross margins and the development, because that is super important for us, both when it comes to pricing and industrial flexibility and also, the service operations. R&D is a deliberate decision. And when it comes to technology innovation digital in this point of inflection, I think it's a very wise decision given our position of strength to do that. There are considerable growth opportunities. Of course, if markets should change dramatically, we can always do things. But to be shortsighted in a situation, like we have now, it should be unwise when it comes to value creation for our shareholders.
Johan Bartler: Thank you. Any more questions in the room? Then we continue on the telephone line. We move to UBS and Hemal Bhundia. Please go ahead.
Hemal Bhundia: Hi. Hemal Bhundia from UBS. Hi, Johan, Mats and Martin, and thanks for taking my questions. I guess on the European heavy-duty orders, it was nicely up in Q4. Is that something you've seen carry over into Q1? And in terms of your order book currently, how booked out would you say you are for Q1 and Q2? Thank you.
Martin Lundstedt: No. But, of course, I mean one of the key priorities that we have had during the course of 2024 is to find the right balance. And we've had a situation with a shrinking order book not only negative obviously because we had as you remember a period where we had too long delivery times et cetera and especially in inflationary environment that is not something that we want to have in order to keep promises out there. So we have gradually taken down that and then also with the correction in the market and thereby also our own industrial corrections I think we during quarter three and quarter two, quarter three have found the balance. Now what we have seen is that with the order intake of course that has gradually also improved so to speak the order board as such. And that's the reason why we are saying during the course of the first half of the year here if this continues we will of course adapt to that situation. But I think the message is good correction and we followed well when it comes to Industrial Systems. Now we have a good pipeline and we are ready to -- and I mean it was not a specific situation in quarter four if I say so. I mean it has not been a big change when we look at the start of the year here in quarter one when it comes to order activity.
Johan Bartler: Thank you. We continue with Jose at JPMorgan. Please go ahead Jose.
Jose Asumendi: Very good morning. And one question please. Can you comment on the key actions to improve the gross margin in the Truck division in 2025? If you can comment around gaining some market share in North America? Do you expect the VNL ramp-up cost to be done by second quarter? And any update on the Mexico ramp-up plant? Thank you.
Mats Backman: Should I take it?
Martin Lundstedt: No. But I think again looking at the Truck situation generally speaking gross margin-wise I think well managed both when it comes to flexibility in our cost structures and also when it comes as we said the commercial conditions and pricing. The pressure that we have seen over quarter three, quarter four well discussed mainly then or almost solely related to North America apart from I mean the very specific situation with real that happened but that is what it is basically with the 14% drop there. So I mean that is one thing. And Mats talked about it clearly gradual so to speak fading away because we are ramping up. Learning curve is there. The parallel production will start to fade et cetera. The storm was specific unfortunate event both when it comes to human suffering and loss of production et cetera. So I mean those are very specific events. Then if we will see a gradual coming back? Obviously we expect to have leverage. But now we take it step by step. We are in good balance. We have the order intake and we will follow that. And then, we come back to the normal hunt back, as we say, in Sweden, but the normal way of continuous improvement and do our job when it comes to industrial leverage.
Q – Jose Asumendi: Thank you.
Martin Lundstedt: And Mexico, I mean that is running according to plan. And as you know, we have a very strong starting point in the situation in North America, 100% of our trucks are produced in the United States for North America and the project is running according to plan.
Mats Backman: Maybe one thing to add, when it comes to the gross income. We have plus and minuses, when it comes to gross profit. But we cannot forget the service business as well that has been extremely important now, with lower volumes on the new vehicle sales and the service being kind of a positive one, when you're looking at the mix then. And we are now, if I recall it looking at the fourth quarter, close to 24% of the total in service then. So, service business also being important. So, don't forget about that.
Q – Jose Asumendi: Thanks so much.
Johan Bartler: Thank you. We continue with Miguel from BNP. Please go ahead Miguel.
Q – Miguel Borrega: Hi, Good morning, everyone. Just have one question on the Q4 Truck margin and the very strong order intake during Q4. I understand the issues, you mentioned, but I just wanted to make sure to ask that, if somehow that correlates to a softer net pricing in any region? Some of your peers have been highlighting some concessions in the whole service plus vehicle package. Do you see pricing dynamics changing, somehow in 2025? Thank you very much.
Mats Backman: Again, if I understood it correctly, then about the Truck margin and coming back to the previous answers as well, of course, I mean, we have some specifics looking at the fourth quarter, but the pricing as such is kind of solid, as Martin has talked about. So that is not the issue. I mean, we're talking more about the specific North America and also the currency effect on the Trucks not to be forgotten that it's around SEK 500 million. So it's quite, a lot. But then looking at the other items, then in terms of gross margin, I mean the volumes I mean clearly, that's kind of negative year-over-year. But then, we have some positives and some negatives. But the big thing then, looking at the fourth quarter, that's related to North America we have the currency also being important to remember there.
Johan Bartler: Yes. Good. Thank you. I think, we'll let that conclude this press conference. Many questions today, from many banks. That was good. So thank you for joining today and all materials are posted on the web page. So, with that…